Operator: Good morning everyone and welcome to the New Fortress Energy fourth quarter and full year 2023 earnings conference call. Today’s conference is being recorded and all participants are in a listen-only mode, but later we’ll have the opportunity to ask questions.  To get us started today with opening remarks and introductions, I’m pleased to turn the floor over to Managing Director of Strategy and Investor Relations, Mr. Chance Pipitone. Please go ahead, sir.
Chance Pipitone: Thank you Lisa, and good morning everyone. Thank you for joining today’s conference call, where we will discuss our record fourth quarter and full year 2023 results, recent developments, operational highlights, and future here at NFE.  As Lisa said, the call is being recorded and will be available by replay on the Investors section of our website under the subheading, Events and Presentations. In that same location, you will find a press release regarding our fourth quarter and full year results and the corresponding presentation, that we’ll walk through on the today’s call. As we proceed through the discussion, we will be referring to that presentation, and in that same presentation you will also find a series of important disclosures related to forward-looking statements and non-GAAP financial measures. We encourage participants to review these important disclosures in addition to the description of risk factors contained within our SEC filings. Now let’s dive into the call. My name is again Chance Pipitone, and joining me today from New Fortress Energy are Wes Edens, Chairman and CEO, Chris Guinta, CFO, Andrew Dete, Managing Director, and Brannen McElmurray, Managing Director. Thank you. Wes, over to you.
Wes Edens: Great, thanks Chance, and welcome everybody. As Chance said, as usual, please refer to the deck that we posted here just a few minutes ago, and let’s start at the beginning. Page 3 - 2023 was a very good year, fourth quarter a record for us as well, and from an operating perspective $1.3 billion in EBITDA, $388 million in EBITDA for the quarter, more than doubled earnings per share and FFO for 2022 to 2023, and we’re poise to roughly double that again this year, so tremendous financial results. Most importantly, when you look at the second line down - it’s not numbered but it’s the second line, the profit from cargo sales, you’ll see zero contributions from cargo sales in Q3 and Q4, which now fully reflects that our business is operating on the--through to the terminals to our customers in our sales of gas and products and power, and so very much an operating company now as opposed to a development company, and both the quantity and the quality of those earnings were terrific, so it’s actually a very, very good thing. If you look at the bottom, when I say funds from operation, this is a metric that we have borrowed from the real estate business, which we think is actually applicable here. Simply put, it takes earnings per share and adds back non-cash items like depreciation and amortization. What that means is that on our balance sheet right now, we have many billions of dollars of infrastructure and that’s growing, so there’s a significant amount of assets on balance sheet, so simply adding back those non-cash items gives a more accurate reflection of the earnings power of the company. When you look at it now with $1.61 in FFO in 2022, $3.56 in 2023, $6-plus is our guidance for 2024. We’ll talk about Brazil, because it’s actually a major, major issue for us, we have significant amounts of funds from operations from things that are actually on the books right now, that Andrew will talk about in a few minutes, that we think takes us to $8 plus in a couple years on a run rate basis, so very, very significant earnings. Obviously the combination of core earnings at $6-plus a share along with the 50% growth rate over the last year and projected for this year, plus a 10-year plus duration of our portfolio gives us a significant competitive advantage, and we feel very undervalued at these levels, but now this is something that with these results, we think we can go and attack that aggressively. Let’s look at Page No. 4, operational highlights, of which there are many which we have just condensed into a short page on the absolute highlights. Let’s start on Brazil - we came back from Brazil late last night. In the news yesterday, you’ll see that both the Barcarena and the Santa Catarina terminals are complete and are now hooked up. The market in Brazil is massive - it’s a sizeable market, [indiscernible] what we have right now, and the prospects for additional growth are actually quite significant. I won’t steal Andrew’s thunder, but basically $500 million-plus in EBITDA from the existing business is obviously a massive result, but that is really the tip of the iceberg when you look at the future of potential power auctions which are coming. The combination of our terminals in gas and power give us a massive competitive advantage, and this is something that I hope will be appreciated here in the very, very short term. Puerto Rico, which has been a huge part of our success in the last several years, we really highlight the two installations for the FEMA power plants that we’ve built in the middle of last year. These power plants have become essential to the island’s energy security, the most reliable power on the island. Brannen runs that business for us. We’ve added to our already large presence there with these and other initiatives that we’re working on. We’re working with the government closely on many different fronts and are very confident to both grow and continue our business there. At Fast LNG lastly, there’s a lot of news around that, so in short terms, we installed the first of our facilities and we expect first LNG in the month of March and the first cargo in the month of April, so obviously we’re at the very, very tail end of that project, and while it’s been a little bit delayed, it’s important to note that it still would be the fastest LNG installation in the history of the planet. We are always aggressive in terms of our objectives, but even with the beat slipping a little bit, on balance we feel very, very good about what we have done. We just recently announced that FLNG 2 is now fully financed. Construction begins in April. We believe that that facility will turn on in the first quarter of 2026 - that’s a meaningful step as well, because it brings us onshore in a terminal that actually has substantial expansion capabilities as well. Linking these facilities to our downstream creates a very, very powerful business model. The existing downstream in Puerto Rico and FTA countries make more than covers the amount of LNG we will produce from these two facilities. In recent developments, we obviously disagree with the liquefaction pause that the government has taken, but we’re the only company, we believe, that’s not affected by this as a result of our downstream customers and our ability to export to both Puerto Rico as well as the other FTA countries, so that’s very good news. Page 5, the financial highlights, a very tremendous year in both the quantity and quality of earnings. The one thing I would highlight is this run rate number that we have circled on the right-hand side. That reflects for the most part what is already in place in Brazil, so obviously going from $1.61 to $3.56 to $6, to $8-plus two years from now when we are fully operational there. The FFO is basically cash flow - we have $6-plus this year, and with the $2 in Brazil and the duration of our portfolio and the competitive advantage we’ve got in these different markets that we operate in, we feel like the future is extremely bright for us financially.  At the same time, gross and net CapEx have peaked and are expected to decrease significantly in 2024 and below. You can see the net numbers across the bottom of the page go down by roughly 90% from 2023 to 2024, so a massive decline in CapEx. What that means in simple terms is that the operating earnings that we generate will then go to the bottom line for distributable cash flow for us to run the business and manage our parcels going forward. Page 6 is a key page for us. If we look at this page, it basically highlights the three pillars of the company, which are basically power, gas and terminals. We think of this in very simple terms - the terminals provide both a gateway to our markets but are also the sustainable competitive advantage that is hard for others to create in a timely manner, and so it gives us so much confidence in the growth of our businesses.  On the left-hand side, on the power side, you’ll see that we are very much a power company, so 8.689 gigawatts of power, so very, very large power company we both own, manage, and provide fuel supply to. The gas in our business right now is largely mashed, so we actually--our intention is not to be exposed to changes in market price, and I would say that if you look at our results for the last two quarters of the year, you’ve seen a precipitous decline in the world’s LNG prices, and our earnings not only were stable but they’re actually growing, so very, very clear evidence that we are not tied into market prices for LNG. That’s not our intention, but the results speak to it. The bottom line on the terminals is that while they currently have significant amounts of throughput, they also have significant amounts of potential upside utility. Jamaica, we only use 10% of our utilization, Puerto Rico 25%, Mexico 10%, Nicaragua 20%, Brazil 40%, so these terminals have got a substantial amount of upside. They require essentially little or no CapEx for us to move more product through them, so we think that the combination of power and gas in terminals is a very, very powerful one and gives us a very, very bright future. The last thing I would say is that there are many companies out there that provide one of these three elements: they either are a power company, so IPPs or they invest in power companies, they’re gas in terms of either owning the gas in the ground or they own liquefaction, and there are terminals companies, or people who operate on fee basis terminals around the world. Putting them all together is what allows us to actually, number one and most importantly, serve our customers, because it creates this one-stop solution that is so important to them, so we can actually be attentive to what their needs are. But number two, it gives you a massive competitive advantage over others that are trying to do the same thing, so it’s a very, very powerful combination. With that, I’ll turn it over to Brannen to talk about Puerto Rico. Brannen?
Brannen McElmurray: Thank you Wes. Let’s move to Page 9 of the presentation. As Wes so often says, affordable, clean, reliable power is the cornerstone of economic activity, and in that regard a majority of the world is underserved. There’s no better example of this in the U.S. and its territories than Puerto Rico. We’ve been investing in Puerto Rico’s infrastructure since 2017 following a series of devastating natural disasters, including two hurricanes just two weeks apart. NFE began developing critical energy infrastructure in Puerto Rico to improve reliability and lower energy costs for ratepayers.  Our first project was the San Juan energy port, converting an existing combined cycle power plant to burn natural gas rather than diesel, and constructing a fuel import terminal to support it. Our operations began in 2020 after completing construction in the depths of COVID, a true testament to the dedication of our team and stakeholders. Today, this facility delivers 15% of the power to the PR grid with reliability in excess of 97%, while significantly reducing emissions and generating over a billion dollars in fuel savings to ratepayers’ life today. Most notably, this asset provides NFE a significant, sustainable competitive advantage on which to deliver more value to Puerto Rico through follow-on infrastructure investments, such as those we will highlight in the next slide. Turning now to Page 10, we continue to invest in more reliable, clean, affordable power for Puerto Rico, and in 2023 expanded our presence with two major developments. First, fast power deployments - after a rigorous selection process, NFE was picked by the U.S. government to build and operate 350 megawatts of fast power across two sites in Puerto Rico in order to stabilize the grid. The first site, Palo Seco, 150 megawatts, is located just a few miles from the NFE terminal, allowing us to easily connect our site to existing logistics chain. NFE was awarded the project in February ’23 and delivered power to the grid just a few months later in June, making this the fastest large-scale power project in Army Corps industry at the time, which is saying something. The second site, San Juan, 200 megawatts, NFE was awarded the project in April of ’23 and delivered power to the grid just a few months later in September. Together, these sites provide 15% of the power to the Puerto Rico grid with reliability in excess of 98%, reduced emissions, and generates hundreds of millions of dollars of savings to ratepayers.  The second is the privatization of PREPA’s thermal generation fleet. NFE subsidiary, Genera won the mandate to manage PREPA’s thermal generation fleet for at least the next decade in a rigorous privatization process. Genera took over the system July 1 with three goals: to increase reliability, lower cost to ratepayers, and reduce emissions. I’m proud to say that Genera is delivering tangible wins on each of these three goals during its first year of operations. These two developments continue to build on the work we started in 2017 and further enhance the NFE franchise in Puerto Rico.  Moving to Page 11, the majority of Puerto Rico’s generation assets are now managed by NFE or our subsidiary, GeneraPR. Our footprint consists of 5 gigawatts of power across 17 sites, over 700 employees, an most importantly 1.5 million customers. We manage 85% of Puerto Rico’s total generation capacity, but 57% of this capacity continues to run on diesel or HFO. This creates a tremendous near term opportunity for NFE’s business. Our footprint allows us to execute on a variety of strategies such as fuel switch, supplemental power, and other fuel optimization initiatives that NFE is well positioned to be the infrastructure provider of choice to deliver value to the Puerto Rico ratepayer.  Moving to Page 12, NFE continues to engage with the Puerto Rican government, FEMA, Army Corps, DOE, and other stakeholders on a broad range of topics. We are bringing advanced generation and storage technology to Puerto Rico that improves the level of service for all customers. Puerto Rico has the highest priced and least reliable power in the U.S. and its territories. The average Puerto Rican customer is 600 times more likely to be without power than a customer in mainland U.S. The good news is the situation can be fixed, and here are just a few of the initiatives we are executing on to address it. We’re adding large scale battery energy storage systems to the grid, reducing frequency of load sheds by 90%, adding additional generation through peakers and black start assets, the first new conventional generation on the island in years, and we’re implementing a fuel switch and supplemental power strategy to add megawatts now and ancillary services later, to strengthen the grid and make it renewable ready. We continue to invest in Puerto Rico and expand our franchise there by adding essential infrastructure. These projects and the experience they bring can be readily applied to other markets addressing similar challenges, creating opportunity for NFE in other jurisdictions seeking solutions to accelerate the energy transition. This drives value to NFE as the solution provider of choice. I will now turn it over to Andrew to talk about the exciting business he and his team are building in Brazil and the tremendous advances made there. Andrew?
Andrew Dete: Thanks Brannen. Hello everyone, good morning. I’m on Page 14, and very excited to announce that our Barcarena terminal is now operational. Wes and I were here yesterday and had a great event with the governor of the State of Para and the Minister of Mines and Energy in Brazil, and we stood on stood on the FSRU and looked back at the shore here, and that was pretty cool to try to highlight how from the terminal here, you can actually see the three big contracts that we have. On the left side on the top of the page, you can see the Alunorte aluminum refinery owned by Norsk Hydro, that’s where we have a 15-year agreement to sell 30 TBtus. Moving a little bit to the right, our current 630 megawatt power plant, which we call CELBA, is 50% complete. That will reach commercial operations in July of 2025 and has a 25-year PPA. Then on the land just adjacent to that, to the right is where we’re going to site the new 1.6 gigawatt PPA that we bought from Denham Capital and CEIBA Energy. That will COD the next year, July 2026, and have a 15-year PPA, so super exciting for us on many levels to open this terminal, and then also just to be able to kind of see the overall business model, very compact here in one great industrial development.  As you can see from the picture too, what we did here is really extended an offshore jetty, so it was a very cost advantaged project and it benefits from the FSRU Energos Celsius, which we just finished completion of converting in a yard in Singapore, and so FSRU arrived a few days ago, fully hooked up, and we’re ready to flow gas in Barcarena, so very exciting. Not to be outdone, the next page is we’re announcing that the Santa Catarina terminal is now operational. We’ve obviously been working on both of these for three years, and I think they’ve been in permitting and development for another five years, and so not totally planned but they did arrive basically within a day of each other and are getting hooked up also within a day of each other, so another great project here. We’ll show more pictures of this in the future, but basically the pipeline here, as you can see, is connected and then actually goes under the water and to the left here and for another 30 kilometers until it connects into the big transport pipeline system in Brazil, so super exciting terminal for us. Very different dynamic in terms of being connected to this very liquid pipeline system, which we’re going to talk about here. I’ll now flip to Page 16. Wes alluded to it - you know, we’re very, very excited about the opportunity in Brazil. We really believe this is one of the best LNG and power opportunities globally. I’m going to walk through a few reasons for that. The other thing to remember is not only is it one of the best opportunities, but it really is at a scale that’s unprecedented for NFE. There are three things that I want to highlight in terms of why we love this opportunity. From left to right, the first one is the overall demand growth for energy in Brazil. There’s many ways to kind of come at this stat. What I really like is the 4% year-over-year increase in electricity consumption. That maybe sounds like a modest number, but when you’re talking about a grid of 85 gigawatts, 4% is a huge number. Then we spent a lot of time, even just yesterday, with the Ministry of Energy, and what they’re actually forecasting is the need for 20 gigawatts of new dispatchable power by 2032.  Brazil has a very interesting grid. It might actually be a peek into the future for some of the rest of the world - we’re almost 80%, probably 75% of the power is renewables and hydro, and so they have a very clean grid and a very low cost grid, and their problem is actually capacity. What they need as they grow is more firm capacity, which is what NFE is set up to provide. The second thing is really the mechanism for acquiring new power. Brazil has a great history of acquiring long term contracts for power capacity, so over 35 gigawatts have been awarded in these auctions since 2006, 23 different auctions. In 2024, we expect a new auction for more than 8 gigawatts, and these contracts are very sophisticated because they’re highly bankable and they index the gas price to international LNG prices, so this really is unique for us in the world in terms of a very well set up, well understood and bankable mechanism to give out long duration contracts for LNG power. The third is the robust local capital markets. What we see in Brazil that we don’t really see in a lot of other places is banks and capital markets that are willing to support these long duration PPAs that are won in government auctions. We have significant financing support from the Brazil Development Bank, which is called BNDS, where we financed our CELBA power project, and what this allows us to do is continue to participate in these auctions, build up our portfolio which today is 2.2 gigawatts - we think that’s going to 4 gigawatts or 5 gigawatts this year, and we’re able to finance a majority of the project CapEx with really competitive asset-level debt. On the right, we just put a couple stats to compare to the U.S., and it’s the same sort of thing we’ve been saying about the demand. Brazil is one-fifth of the energy use per capita in the U.S. and has a population growth that’s about five times. Flipping to Page 17, just to talk a little bit more about the grid and trying to underline our opportunity here, on the left side you can see what I mentioned, is 60% hydro in the grid, that’s the real thing to understand about Brazil. When it rains, that’s very low cost power and low emissions power, and these are amazing projects. They’ve also done a great job of building out renewables, so 15% renewables on the grid. However, what that means is 75% of the grid is either seasonal in the case of hydro, or intermittent in the case of renewables, and so what Brazil has been very focused on, to their credit, is building out thermal power capacity which is dispatchable and basically provides the firming capacity for that entire grid, which allows the hydro and renewables to grow even more. On the right side is the problem that they’ve had. What that means is with all these intermittent sources, you’ve had a very volatile energy price, and so we’ve graphed that here. You can see the inverse correlation between basically hydro storage and the spot price. Brazil thinks a lot about this problem and has done many things. The one thing that’s been difficult is just how fast they’ve grown, and so one of the things to know is that when these hydro plants were first built, the reservoirs were capable of storing enough energy that would last Brazil for many years. Today, that storage lasts about 30 days, and so it’s been very hard to keep up with the capacity for growth in Brazil. Flipping now to Page 18, one of the things that really underlines the opportunity in Brazil is there isn’t enough gas, so there is a gas economy in Brazil today, there’s a lot of industrial gas use, but there’s not enough gas to go around for both the industrial use and for this thermal power capacity, and so the reason as they’ve tried to build this out that it’s been hard to continue to build up to firm capacity is you haven’t had enough gas to do it, hence the great opportunity for LNG development. NFE has identified this opportunity in two very distinct and focused ways. On the left side, what we’re trying to underline is our regional strategy. Where we see regional gas supply constraints amidst increasing demand is a perfect place for LNG, which we’d targeted with our acquisition of Golar LNG in 2021. At the top, the Barcarena terminal exists very far from any pipeline or onshore gas and is the only gas import point in the region, which is a highly industrialized region where most of the exports for agricultural and mining resources go out of Brazil.  Barcarena will be a 2.2 gigawatt power complex, 30 TBtu, 15-year contract, and then it will become the regional hub for all the LNG demand, so we’ll continue to develop power in neighboring states, there are other regional industrial off-takers that we’re targeting, and we’re the main import point now that we’ve started for LNG in the region. Then what we really want to highlight is the opportunity at the Santa Catarina terminal. The great thing to know about Santa Catarina is through our pipeline connection, we are connected to over 3.5 gigawatts at existing power plants that do not have firm gas supply or PPAs. Those plants obviously all want to win PPAs, and to do that, they’re going to need firm gas supply, and we hope to be the supplier. Also, there’s 300 TBtus of industrial demand today in that pipeline system. Those folks pay a tariff all-in that’s greater than $18 per MMBtu when including taxes and transport fees. We can be very competitive against that, and so as we start our journey now in Santa Catarina, those are the two opportunities to watch and we have exciting things on the horizon. On the right side is the second opportunity I want to highlight, which is the power auctions that are coming this year. Brazil forecasts a need for 20 gigawatts of new dispatchable power by 2032. The light blue here is the retirement of existing thermal power, and the dark blue bars are the Brazil government estimates for the capacity need going out to 2032. We expect there to be an auction of 8 gigawatts or more this summer to start chipping away at this, and as we’re highlighting in our two terminals, we expect to be a bidder in that auction both as a developer of new power and a supplier of firm gas. Page 19 highlights our current business. On the left side, we just wanted to walk through the current contracts that we have that are going to turn on over the next two years. We have a 30 TBtu contract turning on now with Norsk Hydro that will go for 15 years. In 2025, we’ll COD the 630 megawatt CELBA power plant that has a 25-year PPA, and then in 2026, we will COD our 1.6 gigawatt PPA, which is a 15-year contract. That gives us at Barcarena 30 TBtus of gas supply, 2.2 gigawatts of power, and an 18-year average contract duration. That all equates to $500 million in contracted EBITDA once we’re fully run rate on these contracts in 2027. On the right side is the near term growth I just went through. There’s a great need for new power capacity with a sophisticated mechanism to acquire it and local capital markets that are super supportive, then we have the regional constraints on fuel supply. In Santa Catarina, most of that gas comes from Bolivian supply, which is declining, and in Barcarena, we’re the only importer.  I also want to go through on Page 20, just some quick highlights on the acquisition we announced on December 23 and how that plays into our overall Brazil strategy. What we’re doing here is we’re acquiring a power contract that was won in one of these Brazil auctions in 2021. It’s a 1.6 gigawatt simple cycle contract for 15 years and pays a capacity payment of $280 million, and when called on to generate energy has a gas price of approximately 120% of JKM.  Why is this such a great opportunity for NFE? The first is that it leverages our existing infrastructure. We were able to find a developer who had won this contract but wasn’t able to complete gas supply. We saw a great opportunity to move the contract to our existing terminal and leverage our existing gas supply. It’s really, really hard to supply 1.6 gigawatts of power on a response basis if you don’t already have gas flowing through the terminal. Because NFE has these base load contracts, in this case with Norsk Hydro, we’re able to leverage that and also supply spot respond demand contracts like this for power capacity, and so it really shows how the whole terminal works together to support a complex of both industrial gas supply and over 2.2 gigawatts of power. The third piece is just to demonstrate our significant operational leverage. When we add this contract to Barcarena, we already have the two contracts in place - the 30 TBtus of gas and the 630 megawatts of power, so we’re already paying for all of our expenses, including the FSRU and terminal expenses, and now what we’ll make from this contract really drops straight to the bottom line at Barcarena, so really exciting opportunity for us. We’re working very collaboratively with the regulatory bodies in Brazil and we’ve made great progress here, and expect to have regulatory sign-off to transfer this PPA to Barcarena in March. Thank you, and I’ll turn it to Chris.
Chris Guinta: Thanks Andrew. Good morning everybody. Let’s flip to Slide 22 and talk through our FLNG projects. Over the last three years, we’ve assembled an amazing team of employees, contractors and construction partners that have been working around the clock to make our first FLNG unit a reality. The headline is that we’re in the final stages of commissioning and expect first LNG in late March and our first cargo to sail in April, on which I’ll go into more detail shortly. But before I do, I want to share just a brief background of how we got to this point. As most of you listening are well aware, the LNG production market is dominated by super majors and national oil companies, or by project-focused entities that require 20-year offtake agreements with investment-grade counterparties. At NFE, however, we have stood in the gap and built critical energy infrastructure in emerging markets that need access to LNG now.  In late 2020 and early 2021, we were seeking to add to our LNG supply portfolio and found it difficult to get the quantity and the duration that we required, for two primary reasons: first, a lack of overall supply in the market for the midterm period, notably 2024 through 2027, given that all the then-currently operating liquefaction projects were nearly 100% contracted; and second, as we were only a single-B rated entity at the time, the credit support and project finance nature of the operating projects did not allow for them to sell substantial quantities to NFE. Move to Slide 23 and let’s talk about what we did as a response. As I’ve mentioned on this call before, Wes scheduled a daily call every weekday morning for the last three years, where we aimed to complete a solution that would be quick to market and allow us to serve the growing needs of our downstream customers.  First, we sought to eliminate design slack that would require significant engineering contingencies and immediately went to work building the modules for gas treatment, liquefaction and power. We executed on long lead procurement in order to focus on speed to market with industry-leading OEMs like Chart, Baker Hughes, and Siemens. We purchased jack-up rigs to serve as the foundation for the modules, eliminating the long and difficult process of constructing purpose-built marine assets like ships or barges, that have been done for other offshore liquefaction solutions, and of course we chose top flight engineering and construction partners in Fluor, Kiewet, Arendal, Zentech and others to ensure excellent workmanship. Where did that get us? Move to Slide 24 and you can see a recent photo of the FLNG unit on location.  With respect to our first FLNG unit, we declared FID in March of 2021 and we will have first LNG in March of 2024, making this the fastest, large scale LNG project ever developed. We’ve completed over 8 million man hours of construction to date, we’ve transported rigs to their location at Altamira, completed the hot tap and introduced feed gas for commissioning, and we have our LNG storage vessel, the NFE Penguin, securely moored and connected to the rigs, awaiting LNG loading. Finally, the commissioning and operating teams are aggressively working to produce first LNG, which is scheduled for late March, followed by the first cargo sailing in April.  Now moving to Slide 25, and now that we’re nearing the conclusion of commissioning for our first FLNG unit, we’re turning our attention to FLNG 2, which has a much cheaper and faster deployment time frame give its onshore nature, pristine pad site, existing infrastructure, and knowledge gained from FLNG 1. The modules are under construction now and will be completed in Q3 2025, and will then ship to Mexico for installation at the Altamira terminal with expected completion in Q4 2026. The terminal was built by Shell and is in excellent operational condition. There is LNG in the tanks, full deepwater marine berthing capabilities, and ample land to receive the modules. Quite frankly, you could not ask for a better location.  FLNG 2 uses the exact same technology and design as FLNG 1, but a completely different contracting strategy, one that allows for much more certainty around price and schedule. We have a fixed price date certain contract for our modules and a fixed price date certain contract with our civil contractor for the onshore installation. We have 90% of the procurement already completed and in many cases the equipment is on location in the Kiewet yard or ready to ship from the original equipment manufacturer.  Finally, as Wes mentioned, we’re excited to announce that we have secured committed financing for a $700 million loan for FLNG 2. To date, we have invested a little more than $300 million already, and the balance will be funded by the $700 million construction term loan.  Quickly on Slide 26, we wanted to remind investors that LNG produced from our fast LNG units will go to supply our customers through our downstream terminals. With FLNG 1 nearly operational and FLNG 2 expected to be completed in early 2026, we will have approximately 140 TBtus of production. The match of our own supply and demand provides significant operating advantages as well as insulates us from changes in global LNG prices, and importantly, our expected volumes in FTA countries like Mexico and Nicaragua, as well as Puerto Rico, are more than the supply coming line from FLNG 1 and 2, thus removing any concerns over the non-Free Trade Agreement export permit pause recently announced.  Now please turn to Slide 28, and I’m going to run quickly through the financial performance for the fourth quarter and the full year 2023. Just as was the case in Q3, we had no open market cargo sales and record earnings from our downstream terminals. Total segment operating margin was $427 million with $372 million of that coming from volumes that we sold through our terminals to our customers. This $372 million is nearly double the $195 million we produced in Q3 2023, and for the full year 2023, we produced nearly $1.3 billion in total adjusted EBITDA, which is up 20% from 2022. Net income for the quarter was $217 million or $1.06 per share on a diluted basis, and $548 million for the year of $2.65 per share. We’ve also included funds from operations on this page, which Wes described earlier. We had $1.36 per share in the fourth quarter and $3.56 per share for fiscal year 2023. The punch line here is not only the magnitude of earnings but the quality as well. In the second half of 2023, 100% of our earnings came from sales to downstream customers or vessel charters, and now with very little equity CapEx required, there should be meaningful cash flows produced each year.  Finally, turning to Slide 29, on the left side of the page, we’re including a table showing the expected funds from operations for 2024 is around $1.25 billion, less the $250 million of net CapEx that was discussed earlier, which is around $1 billion that can be used to pay down debt. To that end, we are evaluating potential refinancing opportunities to address our debt maturities in the ordinary course, including the 6.75% notes due 2025, and we will continue to actively monitor market conditions. As part of our process of refinancing and deleveraging goals, we are working with the ratings agencies on six key focus items for 2024: one, debt reduction driven by free cash flow and asset sales; two, growth initiatives to be funded by asset-level debt; three, adding to our power portfolio with over 2 gigawatts of power in Brazil; four, increasing volumes and executing long term fuel switching in Puerto Rico; five, commercial operations in FLNG 1 and construction of FLNG 2; and six, affirming our dividend policy of $0.10 per share per quarter. With that, I will pause and turn the call back over to Chance for Q&A.
Chance Pipitone: Thank you Chris. Operator Lisa, would you please take a moment to receive some questions, and let’s open up the lines.
Operator: Thank you sir. [Operator instructions] Our first question comes from Chris Robertson with Deutsche Bank. Please go ahead, sir, your line is open.
Chris Robertson: Hey, good morning Wes, hey guys. Congrats on the strong quarter-over-quarter performance here. Wes, just given the step change in the adjusted EBITDA that we’ve seen over the last two quarters, it’s obvious that the Puerto Rico power generation contracts provide quite a meaningful uplift here. There’s been some public filings and reports around FEMA wanting to wind down its involvement as early as mid-March. Can you just speak broadly to what’s happening with regards to FEMA, what this means for the current contracts, any potential sources of income and cash related to those assets, and more importantly, what’s the longer term growth opportunity in Puerto Rico on the fuel switching side?
Wes Edens: Yes, that’s a great question, and I’m going to turn it over to Brannen to answer. There’s actually been a fair amount of public statements, both with regards to the power plants as well as the gas contract and whatnot, and so let me have Brannen address it. It’s a great question and something we feel great about. Go ahead.
Brannen McElmurray: Yes, thank you Wes. Great question. I think it’s best to kind of start with the facts.  We have in place now two two-year contracts that we’re about halfway through. Those in the aggregate support 350 megawatts of operational power but 425 megawatts of installed power. The good news is if you look at the statements out of the Puerto Rican government, including the governor there, there’s been an agreement between the Government of Puerto Rico and FEMA to have these units remain and for the governor of Puerto Rico to purchase them, so there is a process ongoing, it’s public, to have those units transfer from NFE to the Government of Puerto Rico.  I think most importantly, if you look at the system dynamics, that 350 megawatts that will become 425 megawatts represents almost 15% to 20% of the installed power base, and without it, Puerto Rico couldn’t achieve their reserve margin, so if you look at the criticality of the infrastructure, it has now become essential. In terms of future, there’s about one gigawatt of potential conversion fuel switch or supplemental power opportunity, because if you look at the way the Puerto Rico grid is evolving, essentially what’s happening is the HFO and diesel plants are going to run off, and in its place, it’s effectively going to be gas from a thermal perspective, and then that over time will provide ancillary services as the grid continues to transition to renewables. From an NFE perspective, our strategy is megawatts now, ancillary services later, but under all scenarios the power that we’re providing, supporting, and then ultimately fueling, we expect to be there for the indefinite future.
Chris Robertson: That’s helpful, Brannen. Could I just ask a follow-up?
Wes Edens: Go ahead.
Chris Robertson: Just a follow-up on that in terms of the conversion opportunity on the gigawatt of power that you mentioned. How many plants is that spread across, what type of timeline would that be in terms of just the conversion opportunity, like how long does it take to switch from diesel and HFO over to natural gas?
Brannen McElmurray: It’s three to four, depending on what you want to consider the current state of affairs, and I think like all good development plans, there are near and medium term opportunities. The fortunate fact is there happen to be a few opportunities that are gas ready today, and so they simply need a fueling solution, which we think is in process. Then there are medium term opportunities that can last anywhere from nine to 12 months in terms of converting an existing plant to be gas ready, not dissimilar to the project we’ve already executed in San Juan 5 and 6, because if you recall there, there’s a CCGT that we converted. The actual time for conversion is probably four to five months, so it’s actually a pretty rapid process, and so these opportunities exist throughout the island.
Chris Robertson: Got it, that’s helpful.
Wes Edens: Just the one thing I’d add to that is if you think of the existing power plants for FEMA that Brannen has put in place, those provided a critical need during a short term period, and the price reflects that because everything happened--you know, as Brannen said, it’s the fastest installation in the history of the Army Corps, which is indeed saying something. The longer term plan is simply more gas for both this plant, as well as others that will get converted at perhaps a lower price than the emergency power, but on balance our guidance for people is we expect that Puerto Rico will both continue as it currently performs for our system, and we think there is significant growth potential for both this, ancillary services and other initiatives that are underway, so it’s nothing but good news.
Chris Robertson: All right, thanks Wes. I’ll turn it over. I’m sure you have plenty of other questions coming.
Operator: Our next question comes from Sam Margolin with Wolfe Research. Please go ahead, your line is open.
Sam Margolin: Hi, good morning everybody. Happy Leap Day! Thanks for taking the question. A follow-up on Puerto Rico, because there are a lot of variables between a new price or a pro forma price and the new term, and then upside to volumes and whatever agreement you come to, when or if it gets re-struck. But I think the most salient question we get from investors on the inbound side is, is there any scenario where the business model in Puerto Rico changes because of a FEMA negotiation and re-contracting, but the balance sheet and the leverage ratios are affected? Basically put another way, do you see this resolution as something that will ultimately be positive for your leverage ratios on a go-forward basis?
Brannen McElmurray: Yes, this is Brannen. I’ll take that. I think--you know, I’ll kind of echo a little bit where I started with the last question, because I think it’s important. If you look at what Puerto Rico itself is saying, they are moving through a process where they will acquire the 350 megawatts that we built. I think from an expectation standpoint, that transaction will need to close in the near term and make those units permanent, so from a mechanical standpoint, we will receive cash proceeds for that and you should expect that Chris and others will use that from a balance sheet perspective in a way that makes sense, consistent with their capital plan and strategy around the credit generally.
Sam Margolin: Okay.
Wes Edens: Yes, also we are halfway through a two-year term of those contracts, and so while I understand there is interest on people’s part to understand what will happen at the conclusion of that, from our standpoint, we are a massive part of the energy solution for Puerto Rico. Brannen, Genera, the whole 800 people that work for us down there are busy there every day, and so it’s simply not possible to predict the future exactly other than the fact that we have the best information. You see the statements that are made publicly by both the federal government as well as the governor in Puerto Rico and others about the nature of these assets, and so we feel great about it. That’s the bottom line. I think that when you take the sheer math of 1,000 megawatts of additional power that needs to be converted, under any situation that’s a very positive outcome for us. We’re the only material LNG terminal on the island in the area of San Juan, where the bulk of the people and the bulk of the power is, so.  Those are the facts, and I understand the question and would like to be more responsive, but I’d like to predict the future about a lot of different things. But we feel very, very good about it based on the public statements that are out there, as well as our own insight with respect to this process, and as soon as there is further resolution to that, we’ll be happy to share it, but we can’t do more than that.
Sam Margolin: Understood, that’s very clear, and actually it’s a good transition to a follow-up I had, too, just about the overall competitive landscape, maybe not just in Puerto Rico but in Brazil too. You have all this upside to volume and ultimately power demand in both these markets, and to date you’ve done a really good job of fencing off your domain and protecting your market share there. Would just love to hear your thoughts about what the competitive landscape is there today and how you can maintain your position. Thanks.
Wes Edens: Yes, I’m going to amplify a little bit of what Andrew said, because I thought he did a terrific job of laying out. Brazil for us has been an investment historically of about $1.5 billion, right, so we’ve made a massive investment in the country. We now effectively--not potentially, but effectively today, we have really two of the four operating import gas terminals in a massive country that has an enormous need for additional power. The way that actually the Brazilian government has managed their renewable portfolio, I think is a real model for how other countries, including the United States, should think about this going forward.  What they basically--between the hydroelectric power and the other renewable power, it’s something like 80% of all the power in the country is renewable. What that necessitates is a huge standby capacity to provide the peaks and valleys if it doesn’t rain or the sun doesn’t shine or the wind doesn’t blow. What they have done, going back to 2006, is they have issued these capacity auctions for 35 gigawatts of power, whatever it is - massive amounts of power, so there is a real history of them doing it, and because it’s such a large and vibrant country, they actually have an internal capital markets that supports these activities, that finances them as well. It’s a remarkable combination of this, and I feel like we’ve been clear with what we have in hand today, what is already contracted, it generates $500 million in run rate EBITDA by the middle of 2026.  I feel like our value from that--because the cash flow contribution in the current year is nominal, right, because this is all stuff that is just now coming on, I don’t feel like that value is reflected in the valuation of our company at all, but I think that will change dramatically. We intend to host investors and counterparts and rating agencies probably in the month of April down there. It’s a remarkable thing to see in person. When you see the effect of the decarbonisation that it has on the Amazon, one of the most environmentally sensitive parts of the entire planet, it’s amazing. We were there yesterday with the energy minister, with the governor of the State of Para, and you can see that this is not just a good project in their eyes, it’s an essential project and something that is desperately needed across the country. Our competitive advantage in the south in particular is we have a new gas terminal that opened yesterday. There’s going to be auctions that will coming up, we expect, in the next handful of months, and we are the only provider, perhaps, or the major provider of gas, which gives us a massive competitive advantage, and we’ll try to detail that now that these are up and running and show you.  I think that what is crystal clear is that the--and I’ve said this in perhaps not clear enough terms, the terminals themselves are the gateways that allow you to service your customers, they are also the gateways to prevent other people from competing with you. Of course, anybody can build a terminal - it’s just money, except it’s also time, and time is the only commodity that you can’t buy. The terminals that opened yesterday in Brazil, the development of them were started about eight years ago, and so all you need to compete with us in Brazil right now is a time machine. If you can just go back eight years, you’re going to be right there, neck-in-neck with us. If you don’t have that time machine, though, it’s going to be a pretty complicated thing to compete with. I couldn’t speak about it in more clear terms, and same thing applies for us in Puerto Rico, the same thing applies for us in Mexico, the same thing applies for us in Nicaragua, etc. All these things have characteristics, the markets all have different characteristics. Perhaps none of them is as attractive on a long term basis as Brazil and as Puerto Rico, but all of our terminals are actually in the same competitive position, and that is something which I think is an unbelievable, sustainable competitive advantage.
Operator: We’ll move to our next caller with a question, Craig Shere with Tuohy Brothers. Please go ahead, sir, your line is open. 
Craig Shere: Morning, thanks for taking the question. You’ve got this very attractive FEMA contract that’s kind of a sugar rush, but you’ve got all these great opportunities with Puerto Rico fuel switching and Brazil to dramatically fill in and go way beyond that with material downstream growth, but that requires upstream supply. At the moment, I believe maybe an MTPA of and SPA with Venture Global CP2, at least the timing’s in doubt, and even with that, all your contracting, two FLNG deployments, within two, three years you could wind up being net short LNG. My first question is more specifically, how do you think about balances sources and uses of LNG over the next two to three-plus years, and to the degree this becomes an issue, do you see it lined up being a governor on the foot pedal of your downstream growth?
Wes Edens: It’s a great question. I think it’s very interesting, because I think that the question you pose is the opposite of what most people’s concerns are. I think most of the world is now concerned that since you’re roughly doubling the supply of LNG in the world by the end of this decade, the question is where is the downstream going to come to support that. When you look at our book of business, and we’ve been very transparent about it, we are fully contracted in terms of what we produce and what we actually provide to our customers over the next couple years, and so we feel obviously very good about that.  In addition, longer term we can either simply continue to build more liquefiers, if we choose to do that, or more likely, I think we’ll look to the market to supply it. There’s a massive amount of supply in the later part of the decade, and so of the things that I am concerned about with respect to our business right now, long term supply of LNG is not anywhere on the list. I just think there’s many, many different ways that that issue can be addressed. In the short term, we’ve gone through a lot of investment and a lot of focus to get our own liquefiers up and running that addresses the short term needs in the ’24, ’25, ’26, 2’7 period, but beyond that, I think there’s more likely to be an abundance of supply than not, and I think frankly the most scarce resource by far in the LNG ecosystem around the world will be downstream terminals, like ourselves. Really to my knowledge, there’s nobody that has the same collection of downstream terminals, that has so much excess capacity already up and operational, that can service all our customers and therefore create a short for all these other long providers to come into. I think we couldn’t be better positioned, honestly, as a company based on where we are, given the macro landscape as well.
Craig Shere: Right, and last question on FLNG 2, great that you have firm contracting on that, so we have a better sense of cost and delivery. But is all Mexican contracting, regulatory approvals, is everything in place at this point? What is left in terms of hurdles to make this 100% locked in?
Brannen McElmurray: Yes, I think we’re following the same path that we did on FLNG 1, Craig, so you have the CFE as your partner, the president, his cabinet, the successor administration have all expressed strong desire for this contract--this project to move forward quickly. I’ll tell you that everything that we can apply for now has been applied for, and everything is in the path of moving to approval. Again, with the government effectively as your partner here with massive financial incentives themselves for this project to get online - again, we’re using existing infrastructure that they’re paying for and not really getting the benefit of now, plus the profits in the project make this extremely attractive to them, and we don’t expect any challenges going forward.
Wes Edens: Yes, and I want to reiterate again what I said earlier, which is the existing FTA approvals that we have, the existing ability for us to bring volumes to Puerto Rico with our downstream volumes, means that essentially we have a home for all of our own production right now, which is a massive difference versus anybody else who’s got a new project. I mean, obviously we expect that this ban will not be a long term ban, we expect that it will be resolved at some point in time, but of course we can’t predict the future, so we don’t know when it will happen. Happily from our standpoint, we are the only company that doesn’t care about that because we’re actually in a great position as we are right now, because of our downstream and where it’s all located. 
Operator: We’ll move to our next caller, Sherif Elmaghrabi with BTIG. Please go ahead, your line is open.
Sherif Elmaghrabi: Hey, good morning. Thanks for taking my questions. First, I guess a couple questions ago, this is kind of asking half of that a different way, but realizing the long term goal of the integrated model to supply your own LNG to your own terminals, is there any reason why the company still couldn’t take advantage of LNG price arbitrage, if they present themselves in the future?
Wes Edens: You know, we don’t really view ourselves as the merchant business. We want to be in the business of full integration, so we integrate ourselves from liquefaction to transport to terminals to power our gas, and so we don’t want to be in the merchant business. We don’t want to have to predict that as part of our future, and I think we very successfully have insulated ourselves from these price swings. Again, I’d point to look at the price decline for TTF or JKM in the second half of the year, look at the results of other companies that were exposed to that, compare them to our results over the same period and you’ll see the benefit of that. We think that with this now focus and delivery of our operating results, our goal is to both be very predictable as a company going forward, and also to be a growing company as we continue to manage the upside of these different terminals and markets around the world. That clearly is the objective, and I think that we have made great strides in getting that - it’s always a bit of a process, but in the last two quarters, we think our--you know, two in a row in terms of actually doing what we said we were going to do, and so we feel really good about that. 
Sherif Elmaghrabi: Thanks Wes. Then I want to get a better idea of these additional opportunities in Brazil. Do you have a sense on the turnaround time on that 8 gigawatt-plus power auction, so how long after holding the auction are winners announced, and do you have a sense how long after that we could see some more gas volumes pulled through the Brazil terminal?
Wes Edens: Yes, I’ll let Andrew go through that. Maybe just spend one minute and talk about how the auction actually works, because I think that’s quite interesting. 
Andrew Dete: Yes, sure. Thanks for the question. Generally, those auctions are decided the same day--sorry, not generally, they are decided the same day. They’re very transparent, they’re done on an electronic platform, you can see all the bids that happen. The way that we expect this to happen is consistent with history, which is in the next maybe couple weeks or month, they’ll announce the auctions, there will be a date associated with that - it will be sometime this summer. There will be a month for public consult on the auction rules and different things, they’ll take those into account, and then they’ll set a firm date for the actual auction. Let’s assume for a second that’s June 30, right? On June 30, they’ll run the bid electronic platform. At the end of the day, you will know if you’ve won or not and at exactly what price.  Now to answer your question, when will that actually come online? We think this is actually going to be an interesting auction for that, because there’s probably going to be two subsets of what happens, which would be existing generation and new generation, and we don’t know exactly how that--there might be two auctions or one, it may not matter. But the important thing is the capacity need is so great that we think for the existing generation, which gets a new contract, there is going to be a desire for those to start immediately. The way it will work is there will probably be a three or four-year time frame for the PPAs to actually start, and so for example if your plant has an existing PPA, you can still win this and then kind of contract out. But for plants that are not contracted today, the auction, the government and the plants are all going to want to start immediately, so that’s exciting and we think it will lead to new volumes in 2024 and early 2025. Then there will be the kind of typical auction for new generation, which would be PPAs starting in 2028, with an ability if you finish those earlier to start earlier, and so the simple cycle configuration of these auctions for capacity in Brazil is interesting, right, because that’s a much more simple construction process, and so we may be able to start sooner than that, but obviously the new generation is going to take construction and will be a little bit later. 
Sherif Elmaghrabi: That’s pretty interesting. Thanks everyone.
Wes Edens: Yes, I think the thing, just in terms of talking with Andrew and the team there, that’s so interesting is that when they announce the auctions, there will be a date. On that date, there will be an electronic auction that you’ll be participating in live over the course of the day as you’re making your own bids and you’re seeing how the market adjusts [indiscernible], and by the end of the day, it will be awarded, so it’s an incredibly transparent and buttoned-up process, again. I think the manner in which the Brazilian government has approached this in the last 20 years is very laudable - I mean, it creates a clear path for people to bid, it creates a clear path for the outcomes to be awarded. This nuance that Andrew was talking about, which is will it be with existing power plants that perhaps don’t have gas that are bidding to it, or is it new generation? It gives a very unique characteristic in that it’s an auction for the future, but the future could be very soon if it’s existing generation, and that’s where there are--again, there are four effective terminals that are in Brazil, two of them are ours, one of them in the capital constrained south, so we think the opportunities for us there are tremendous. You know, I’m not making this the Brazil education on this call - again, we’re going to host investors, rating agencies, counterparties probably sometime in April or May down in Brazil, just to walk through this, which I hope people will take advantage of because we think this as a standalone opportunity is massive, and so I look forward to spending more time on it, along with Andrew. 
Operator: Our next question comes from Ryan Levine with Citi. Please go ahead, sir, your line is open.
Ryan Levine: Thanks for taking my questions. Two questions. One, in terms of the ratepayer impact of the potential monetization of the Puerto Rican power plants, how do you see that impacting the end consumer, and to the extent that there is any step-down in PPA rates and ratepayer bills, does that create more impetus for further investment in the location or jurisdiction?
Wes Edens: Go ahead.
Brannen McElmurray: Yes, I can address that. We’ll kind of start with something, I think is an oft-refrained--you know, the people in Puerto Rico pay the most for power anywhere in the U.S. and they have the worst service, so that’s kind of the starting point. If you kind of look at the rate impact of the 350 megawatts that we just put in, even in this short period of time, it’s roughly $0.02 or about 10% off the retail rate, so on a go-forward basis, because what you’re competing with is old technology - you know, the average age of the plant there that burns diesel and HFO is about 35 years, so you’re talking about heat rates that are 12 or 13 versus brand-new technology today, which would be 6, 6.5, so roughly twice as bad. Once you pair that off with the fact that the delivered cost of distillate fuel there is well in excess of what anybody would really think, because of both where they source it from but also the delivery charge, you have a lot of headroom to compete with. For example, if you look at the price of diesel today, it’s roughly about $22 MMBtu, and so anything less than $22 MMBtu today is a win for the Puerto Rican ratepayer, so there’s a lot of headroom in those kind of numbers.
Ryan Levine: Okay, and then switching gears, you put out a $1.5 billion gross CapEx number. What’s the composition of it and how much is FLNG 1 at this stage? I think in the footnote 21, you mention that there’s excluded interest capitalization, is that a material number?
Chris Guinta: Yes, so of the 1.5--it’s 1.25, it really breaks down to a little--we don’t break it out by project, but total FLNG spend in the year is about $600 million, about $400 million into Brazil to complete various works on the power plant, plus that’s an annualized number, right, so that’s got some money that’s already been spent thus far in Q1. Finally, you’ve got about $200 million that we expect to spend on fuel switching and around Puerto Rico over the next two years, so it’s about half in 2024. As far as capitalized interest, yes, that’s excluded in that number, and it’s less than $100 million. 
Wes Edens: Then Ryan, I thought you might ask, so I’ll answer the question. With the $700 million FLNG 2 financing being committed, we’re now fully financed basically as a company, and now that we have announced our results and have updated people on the company, we’re definitely going to evaluate potential refinancing opportunities to address our shorter term maturities and our bond book, so we are actively--we monitor the market conditions and that’s something which now kind of rises to the right level. Every flower has its season, and we needed to get through, kind of have a couple quarters of performance as we have. We’ve basically clarified both performance as well as CapEx and the business updates that are material in both Puerto Rico and Brazil and elsewhere, but we are definitely going to monitor market conditions and evaluate different opportunities that we’ve got to address especially the shorter term maturities of that.
Operator: That was our final question from the audience today. Mr. Pipitone, I’ll turn it back to you, sir, for any additional or closing remarks you may have.
Chance Pipitone: Thank you Lisa, and thank you everyone for joining us today. Again, we remain available, as always, to answer any questions. Please contact the Investor Relations team, and thank you again. Enjoy the rest of your day.
Operator: Ladies and gentlemen, this concludes today’s conference call. Thank you for your participation. You may now disconnect.